Operator: Welcome to Innergex Renewable Energy's 2024 Fourth Quarter and Year-End Results Conference Call and webcast. [Operator Instructions]. I will now turn the conference over to Naji Baydoun, Director Investor Relations. Please go ahead.
Naji Baydoun : Hello everyone, and thank you for joining us today. I'd like to specify that this conference will be held in English. Members of the media are invited to ask their question. Questions by phone after this call, a presentation supporting today's discussion is available as we speak on the home page of our website@www.interject.com this call contains forward looking statements within the meaning of applicable securities laws, although the corporation believes that the expectations and assumptions on which forward looking statements are based are reasonable. Under the current circumstances, listeners are cautioned not to rely unduly on these forward looking statements, as no assurance can be given that it will prove to be correct. Forward looking information contained herein is made at the date of this call, and the corporation does not undertake any obligation to update or provide any forward looking information, whether as a result of events or circumstances occurring after the date hereof unless so required by law. During this call, we will refer to financial measures that are not recognized according to International Financial Reporting Standards. Please refer to the non IFRS measure section of the MG&A for more information. On today's call, we will discuss highlights for the quarter and the year, provide an update on our growth and corporate initiatives, review our Q4 2024, and full year 2024, financial results, and discuss our 2025, guidance and outlook. Our speakers will be Michel Letellier, President and Chief Executive Officer, and Jean Trudel, Chief Financial Officer. I will now answer the conference over to Mr. Letellier.
Michel Letellier : Thank you so much Naji and good morning everybody. Very happy to be here with you and reporting on our objective of last year. Glad to report that we have met all our objectives and actually exceed some of them. The team have worked really hard, starting with financial results, strong result. We basically hit the EBITDA target. We achieved $761 million of EBITDA, and we exceeded our operand of our guidance on free cash flow per share at 1.06 so it's very strong result shows the resiliency of our portfolio, and also the great team operation team that maintain the assets availability Over 96% of the time. So we cannot control the weather, but we can certainly control the availability of our equipment in our operation team did a great job on that aspect, following on our team, construction team has done great work. We have delivered Boswell on time. Very, very happy to have 330 megawatt of wind in Wyoming on their long term. PPA contract of 30 years to be now in operation, full operation. So very happy on this advance, also [indiscernible] away is still on track to be in operation on the first quarter of 2025 so construction is advancing as we have planned, and very happy to have now these this great project, Boswell, being on in operation. Development team has been very busy this year. Great, great results. Super happy, especially at the end of the year, we secured three projects in BC again, 330 years, PPA index with CPI. Take our pay the type of PPA we love. So very happy to have come back in BC. RFP, the opportunity there has been in the waiting for a long time. Remember that last time we participated in BC was in 2010 14 years ago. Super happy to come back with a big win on. On these opportunity also won 360 gigawatt of TPA in Chile earlier on this year, and we also had 1.3 gigawatt of prospective addition to the portfolio. Super, super positive. I think that it shows our resilience, in our ability in our own market to be successful as well. Financing team has done a lot of work as well. Completed $450 million of project finance that provides us a lot more flexibility in our balance sheet. And also, John is going to talk about it. We are going to meet the KPI for pitch rating. So super constructive. This year, we also have sailed down $250 million worth of investment in Texas. As you know, we have been able to get rid of the power hedge project, but contract in Texas. So very, very happy on this outcome as well. If we switched on the other slide, I think this is a very good testament on our ability to win, on our market in Canada, we always said that we wanted to maintain and expand our market shares in our core market in Canada. This slide I'm very, very proud, shows that we've been number one in winning RFP in Canada in the last couple of years out of all the players here. So very, very happy on our ability. But thanks to our I would say business focus on being partner with First Nation. You know that this is enabling us to be able, able and being a preferred partner with First Nation. We've been doing this for a long time, all our team are committed to be a good long term partner for our partners in in First Nations, I'd like to take takes the opportunity, to take them, to give us the opportunity to be a great partner. And this has shown in in this result, all these projects are in partnership with either first nation or community. Very, very happy to have their support and being able to focus on future development as well. But I think that it's time now to take a bit of time to look at this slide and to congrats ourselves on this big win in the last couple of years shows that we are a big leader in Canada, and we intend to defend our market share in our core market there. Next slide we're showing also that in numbers, starting in the year in 2023 with 4.2 1000 megawatt in operation we had, including Boswell, 370 megawatt in operation this year, adding 9% of the total output. So very happy to see that. And also, we have been super busy, like we said, in securing long term PPA. And we love to have those PPA. Again, those are long term, take or pay, inflated PPA, the type that we love, and we had a lot of them in our pipeline of advanced project now standing to bring a 6.2 1000 megawatt by the end of 2030-2031 and still working on it. I think that this translates into showing this next year we have 240 megawatt under construction this year, the biggest, or the earliest project that will be seeing the COD [indiscernible], as we mentioned, we intend to put that project in service by the end of this quarter. And we have also a few more projects to be online by the end of 2026 including the mesquite Tushar number two project in in Quebec, so very strong, focused on executing on those. And we just mentioned that we're adding also on project with existing PPA to have to be the growth on the on the portfolio. These are adding 1337 megawatt of growth, visible growth with certainty in in having long term. PPA with these projects, so that gives us 6.2000 megawatt of potential project by the end of 2030-2031 that can be accelerated a little bit with some BC project that potentially have the opportunity to be in service a little bit earlier. We'll talk about that later on, but super happy to show that we're growing with good quality of long term PPA in our portfolio. That being said, I think that in order to be successful in our growth initiative, we have also to be building on our ability and optionality on our prospective projects. You heard us explaining a lot about the ability and the importance to have early stage development projects. Mid-stage means that obviously we're advancing these portfolio, and advance that means that they're really and are very close to obtain potential PPA. So this 10,000 gigawatt of perspective project are the future, and it's providing us, I would say, opportunity, opportunities to bid RFD, so we're very selective also in our focus. Again, you're seeing that we have more than 2/3 of our opportunity in Canada. We see a lot of opportunity in Canada, both in in well, I guess in all our market that we're focusing Quebec, Ontario, BC, Saskatchewan, Manitoba, are amongst the leader in potential PPA that we can win. We are seeing a lot of opportunity in Ontario. Ontario has an active RFP, so we're focusing on this, obviously, for 2025 and getting prepared also to build a diversified portfolio in order to be flexible in answering future RFPs, we'll talk about the future of 2025, priorities a little bit later on. But I'll let Jean Trudel explain and give you a little bit of more detail on our financial results. Here you go, Jean.
Jean Trudel: All right. Thank you, Michelle and good morning everyone. It's a real pleasure to discuss our results as we ended the year on a very strong note. So I'll start with production. Production in the quarter was 97% of LTA above the 94% achieved in Q4 2023, generation in Q4 was primarily driven by below average wind regimes in France and Chile lower water flows at our hydro site outside of BC, and lower irradiance and curtailment impacts in our Chilean solar portfolio, these elements were partly upset by above average generation at our BC Hydro facilities and strong contributions from our wind portfolio, including pre commissioning production at [indiscernible] Springs, production for the full year was at 93% of LTA in 2024 compared to 90% in the prior year. Overall, each of our hydro, wind and solar portfolios recorded higher production year over year, with various pockets of strength and weakness across specific regions, our team has worked diligently to ensure optimal asset performance, as evidenced by the 96% overall availability we achieved in 2024 above our target of 95%. We remain focused on efficiently running our operation to ensure maximum availability and thus optimize what we can control. Finally, we're very pleased with the performance of our hydro portfolio in 2024 particularly in BC, where our hydro assets achieved 104% of LTA. This clearly shows that the low generation experience in 2023 was an anomaly, and we are happy that we can demonstrate the full revenue generating capacity of these assets. We reported adjusted EBITDA proportionate of $210 million in Q4 2024, and $761 million for the full year, approximately 13% and 3% higher year over year respectively. Our Q4 results benefited from the strong performance of our hydro portfolio, especially in VC, as well as the recognition of PTC generation generated from prior years in the US following a change in recoverability estimates. However, even when adjusting for this one time element that amounted to approximately $16 million our results would still be above expectations. Importantly, our results also benefited from. The commissioning of Boswell springs, if you recall, this project was not part of our guidance for the year, and we are proud of our construction team's diligent work, which allowed us to finish the project in 2024 and begin to benefit from it sooner than expected. This demonstrates our strong execution capabilities, which allows us to deliver value for shareholders. Pre cash flow was $49.2 million and approximately 214 million in Q4 and for the full year respectively. This equates to $0.24 for Q4 2024, and $1.06 per share for the full year. Free cash flow per share for the year was similar to the 2023 results, with lower gains realized on strategic transactions, offset by improved production, new asset commissioning, lower maintenance capex and the previously noted one time element in our four core in our Q4 results in 2024 we delivered results that were above the midpoint of our EBITDA guidance and above the high end of the range for free cash flow per share, even when adjusting for the gain realized on strategic transaction, our free cash flow per share in 2024 would have been $0.87 , exceeding our guidance, we are pleased to have generated strong financial results to our shareholders in 2024 demonstrating our ability to deliver on our objectives despite weather related production shortfalls. Now, as of the end of Q4 the total debt amounted to approximately $6.6 billion and during the quarter, we continued to invest in our advanced development and under construction projects, and completed approximately 450 million of financing to strengthen our balance sheet, our liquidity has improved and now stands at over $700 million supporting all our near term investments and financing needs following the commissioning of Boswell springs, our remaining years to PPA maturity has increased to 13 years from 11.6 previously, meanwhile, our remaining years to debt maturity stands at around 11 years following the recent refinancing. This is now below our remaining PPA maturity and well below the remaining useful life of our assets. Overall, we continue to prioritize a self-amortizing debt structure and remain comfortable with our leverage profile, which is approximately 90% non-recourse. In 2024 we executed on several financing to strengthen our financial flexibility. This included a $250 million sell down of our Texas portfolio and approximately 450 million of financing initiatives, of which 44% were related to our hydro portfolio, a unique advantage that we continue to benefit from the portfolio management activities completed in 2024 allowed us to effectively manage our cost of capital and remain committed to maintaining an investment grade balance sheet. Overall, we expect our portfolio to continue providing us with re contracting and refinancing optionality, and we expect to execute on these opportunities in the coming years by further optimizing our capital structure and leverage our high quality fleet, we expect to remain self-funded and create further value for our shareholders. Now looking out to 2025 we are once again, providing guidance for adjusted EBITDA proportionate and free cash flow per share for the full year. We expect adjusted EBITDA proportionate to be in the range of 825 million to $875 million this represents $100 million increase compared to our 2024 guidance, or approximately 13% growth compared to 2024 guidance. We also expect free cash flow per share before prospective expenses to be in the range of $0.75 to $0.95 per share, which represents a 10% year over year increase at the bitpoint compared to our 2024 guidance. Key assumptions behind our 2025 guidance include production expectations in line with our LTAs and asset availability of approximately 95% the year over year growth we expect to deliver in 20. 24 in 2025 is primarily driven by the Commission of Boswell springs, as well as contributions from our recently completed battery energy storage project in Chile and the upcoming addition of Hale COVID Overall, we are happy with our team's work to deliver significant growth for shoulder this year. Looking ahead, we remain focused on maintaining a disciplined approach to capital allocation. We continue to see significant opportunities to deploy capital at attractive risk adjusted returns in our core markets, in our diversification strategy and risk management approach helps mitigate any jurisdictional risks that we may see in certain regions. So we thank you for your confidence, and we maintain our commitment to creating shoulder value in a system sustainable way. I now turn it back to Michelle for an update on our 2025 corporate priorities, and for closing remarks.
Michel Letellier : Thank you, John and again, very happy to have also the ability to give you those guidelines for 2025 as you just heard from Jean, they're strong. I think the assumption that we're using are conservative in some ways. So very, very positive on our ability to deliver those guidance. So in order to also enhance our future growth and development and efficiencies in the company, we want to make sure that construction in 2025 will be, will be successful, and will be on time and on budget, as we just spoke a little bit earlier, we have 240 megawatt of project that are under construction. We think that Palomino, 200 megawatt in Ohio in United States, should also start construction in the next few months. We have, finally have now the in our position, the commitment to interconnect. So super happy. I think that this will enable us to probably be in service by mid-year, 2027 on that project, still looking into finalizing and an uptake in this project. We have multiple prospects to finalize. We now have the ability to be able to commit, now that we have the interconnection certainty so super happy on this development. As you heard me, we want to focus a lot on our ability to sign the long term PPA. Again, that's what we like. We have the opportunity in Canada. We know for sure that Ontario will come up with an RFP. We think that the final date will be somewhere in late September or early October to submit. So we're getting ready there. There's some rumor that BC, hydro might also come up at the end of the year, within RFP for 2025 we are still waiting also for the confirmation of future RFP in Quebec, there's rumor about Manitoba also coming up with an RFP and New Brunswick. So there's plenty of opportunity in in Canada, we intend to focus there. You know that we have, I think, a good advantage in Canada, we're having a lot of people on the ground securing great opportunity for this, these future RFP, our intention is to have a lot of opportunity. In a sense, in our portfolio, we want to be selective. Also, we told you that we want to have between 405 100 megawatt of new wind in in 2025 we can sustain this with our self-funding, I guess, a strategy. So we have a lot of opportunity. We want to be selective. We have opportunities in all our markets, so we'll be focusing on Canada, but we have great opportunity in France, in the US and in Chile. So I think that through all these opportunities will be selective, and the idea is to create value for our shareholders. So we want to make sure that these PPA, that these RFP will be bid in a return in mind, and making sure that we will be creating value for our shareholders. Of course, we need to finance these construction activities and the project team as. On his ability, in 2024 to be active on that side. So we have a few opportunity also to potentially recycle some of our hydro assets will be looking and being opportunistic in in these opportunities to make sure that we keep our balance sheet being flexible. If we go to the last slide just in key takeaways, you hear me talking a lot about our opportunity in growth. I think there's a lot of noise in the United States regarding renewable energy. At interjects, we believe that on the long run, the United States will see some growth in renewable energy. I think the basic strong support for having a lot more electricity being built in the US is there. The customer wants it. So eventually, I think that renewable energy will prevail, will be a great, cheap option for the future customer in United States. In the meantime, we're focusing, of course, on projects that we think are secure and could provide good value in United States. So we are there for the long term, but we'll be cautious in in many ways, and make sure that the commitment we're going to get into are secure and make sense for us to create value. But in the meantime, like we said, we have a lot of opportunity in Canada, France is still super active, and Chile has also a lot of RFP coming in the next in the next quarter or so, I we think also that the customer wants the these electricity green, green electrons in many area, even this United States. Maybe the federal is not so keen these days, but a lot of states need and wants to have green energy being built. So we think that with all that demand, we have the ability to pass on good margin in our in our bid. So this is the most main focus on our team. We want to win, but we want to win projects with good return. We also leverage our expertise to navigate in any duties and stuff like that. I think that our business, the base operation business, is not affecting, is not affected by these the noise around duties, as you know, we're not exporting in the US. We're not importing power in the US. So both markets are strong. We have our base business protected, and whatever is happening in the in the supply chain being affected by duty. We have a lot of flexibility. We have some great team that will look into diversifying our supply, making sure that we are protected, and we have the ability also to discuss the currency exchange in those contracts. So I think that our team are focused, we are aware, and we have the ability to minimize any impact on our business. So on this, we would open the question period.
Operator: [Operator Instructions]. And your first question come from Nick Boychuk from Cormark
Nick Boychuk: Thanks. Morning, guys, we spend a second on the organic growth trajectory and how you're thinking with the risks geopolitically, but also with resource allocation, people, capital. It seems the opportunity you have in Canada is phenomenal, magnitude 560, megawatts in BC, versus 13 megawatts in France. How are you thinking about allocating capital and time between these markets? And would it not make more sense to really just retrench in Canada and focus on all of those opportunities there?
Michel Letellier: Well, we said that France is, is, is, I guess, that the team in France has their focus. They're getting super independent we have a great team in France that can do their own development, and as long as they're creating value for us, that's their goal, and they're delivering it. As you, as you are aware, we have a new partner, which is actually called in France, they have they're not there. They have their own. Um objective, and they're filling it. So we're super happy with the team and friends. That doesn't mean that we're not focusing on Canada. We have now hire more even people in Canada. We're focusing this is our own market. We have the way, I think we have shown our ability to win in Canada. But again, thank you so much. With our first nation partner and local community partner, you know that we've built over these long term relationships for the last 20 years, and this is not going to change. I think that we have this culture of sharing and being great partner, and this is going to be, obviously a big, big, big portion of our focus in in the next couple of years. But I agree with you, we have great opportunity in Canada and but that doesn't mean that we cannot have some success in other market. We all hear about the noise in the US, but again, this is one of the biggest market called there. I think that the fundamental for renewable energy is there and will be, will be prudent as always. But I think it would be silly not to put the seeds in, in the ground to eventually collect great project in the future in the states.
Jean Trudel: Nick we we've added just in the quarter alone, 16 prospective projects to our pipeline, so 1900 megawatts, and 10 out of these 16 are in Canada. So we are certainly like not missing a beat in Canada to just make sure we capture the opportunities as they appear.
Nick Boychuk: Okay, that's good, and it makes sense. But if we're thinking of the expertise that you have, and Michelle, you mentioned the phenomenal relationships you have with First Nations partners, is it fair to assume that the returns on the capital deployed in Canada would exceed what you'd be seeing in France, the US or Chile.
Michel Letellier: I think that France has a very niche market. It depends, but I think that with risk reward, I think the France is a good recipe. Chile is always a little bit more risky than the rest of our market is South America, so we expect to have a small premium on our investment in selling us is, I guess it's a wide, wide market. There's pocket of project where you can do great returns. There's more competition, but we have to be selective. But again, I think that Canada risk reward, I tend to agree this is a great proposed proposal for us.
Nick Boychuk: Okay, thanks. And then last for me, just on the balance sheet. Can you comment quickly on the corporate lending facility you have the limit that you're comfortable taking that you're comfortable taking that up to, I believe the limits 950 million, but you've got the convertible debenture that's coming due to spring. How comfortable are you taking that higher?
Jean Trudel: Yeah, so, so basically, what we did in the fall really allowed us a lot of flexibility today. So when we look at and you saw, maybe in what we published, we actually repaid the sub debt that we had at the corporate level, the $150 million sub debt. And when we look at the June maturity for the converts, obviously, actually it's not necessarily a good idea to reissue converts, even if the market is available, but we have this flexibility to actually repay the Convert with the RCF, with the revolving credit facility, and to actually time our outlook on this further down the road. So I think we're in a great position right now with this flexibility. It allows us to not only continue our development of project under development, projects under construction, but also allow us that flexibility for these shorter, shorter maturities that we see in our balance sheet.
Operator: And your next question comes from Nelson Ng from RBC Capital Markets
Nelson Ng: Great. Thank you, and congrats on a pretty good year. So anything first question, the first question relates to the five projects under construction. Roughly what's the total capex you expect for those five projects?
Jean Trudel: It range but you know, obviously we need to finalize all the, I guess, the contract negotiation, but it varies from anywhere from 3 to 3.53 to 3.6, million per megawatt on pump. All depends here and there, but if you use anywhere between 3 and 3.6, 3.8. You're in the range for the wind, yeah, for the wind, yes,
Nelson Ng: Okay, got it. And then next question just relates to us tariffs. And I think you have mu wind that will start construction produced, sorry, mu two wind. So are like, are the turbines manufactured in Canada or the US? Like, do you have to move? Like, do you have to buy a lot of equipment from the US? And then the other thing is, like, with a weak Canadian dollar, are a lot of items priced in US dollars from a CapEx perspective.
Michel Letellier: Yeah, well, for assets are built and have long term revenue in us, dollar that you know that that by itself is, is a hedge in itself. And remember Palomino, we had bought all the panels there are already in the state. We have some discussion with the finalization of the balance of plant supplier to have the racking and the some of the inverter might come from Europe. So we're finalizing the impact, but the team has come up with something around, maybe, maybe around ten million of potential duty impact. Remember that we have not signed the PPA just yet. So all these things are happening to everybody. So we think that there's a an opportunity to flow through this small increase. Again, I think that comparing to the magnitude of the project and the advancement of our supply strategy on Palomino, were very well protected for Medicaid. Exclusion number two, the supplier is not anything coming from the US, there's some potential supply in Canada itself and from Asia. So far, we don't see any impact on duty with the duty that we know for the time being, and we also have hedged early on, 50% of the exchange rate. So whenever we have to pay in the next quarters, I'm sorry, are already protected with the exchange rate during the summer time. So I think we've been prudent in our approach, and we feel that we're not exposed that much in in those two projects.
Nelson Ng: Great. Thanks, Michelle. And then just one more question. In terms of your target for 2025 you mentioned that you're also looking to did you say like so last year you were you mentioned that you would bid over 500 megawatts and win over 400 megawatts. And obviously you've achieved that for 2025 is your target to also bid over 500 megawatts.
Michel Letellier: And, yeah, we'll have more than 500 megawatt to bid. The idea is to win some around 400 but we will have, we'll have more than that to bid.
Operator: And your next question comes from Rupert Merer from National Bank
Rupert Merer: I like to follow up on Palomino, so you put a lot of thought to tariffs and potential changes to tax credits. So you highlighted that you've invested in panels already. How much have you invested in those panels? And is the assumption, then also, that you have Safe Harbor on tax credits.
Michel Letellier: They're all already in a warehouse recruit So A and we have an agreement with first order to have a proportional payment over the next quarter. So all that is they're already in a warehouse in in the United States. So we and we also have safe harbor, the ITC with the transformer, and we have the confirmation that we will have the community adder as well, and in our books, the amount project under development Palomino is amounting to about 19 million to date.
Rupert Merer: And that includes the value of all of the equipment you have residents so far?
Michel Letellier: Yes, well, some first payments were done. Yeah, first initial payment. And like I said, we have an agreement with personal solar. They have been delivering these panel in a warehouse in United States.
Rupert Merer: Okay, great. And then secondly, so the share price, I mean, arguably lowest we've seen more interjects. You've talked about being able to self-finance with sell downs in the future, if you need to. But I'm just wondering you can talk us through some of the other strategic plans you may have to deal with the low share price, and are you looking to allocate more capital for share buybacks, perhaps, or look to do more, more sell downs, maybe, for share buybacks rather other investments? How? How is the share price impacted your thinking?
Michel Letellier: That the share back affecting my thinking is, well, we're not happy with it. Of course, we certainly have some tools to buy back, and we've done it in the past. We have to balance the need for future project and creating long term value with the opportunity for us also to buy back the shares, so that that's part of our toolbox. Rupert with we may it's possible to accelerate those, those buyback, but we have to be careful on our balance sheet in our ability also to fund the project. But you're right. There's, there's also possibility of selling down some of our, some of our position in different projects to give us more flexibility opportunities.
Rupert Merer: How do you view your cost of CAP today versus some of your competitors? Maybe some of your private equity competitors. You've been very successful in RFPs so far, but do you, do you feel the need to generate higher returns, and some of your competitors going forward, if this dislocation remains,
Michel Letellier: Well, the important thing is, is good return, Rupert we, we can certainly by volume, but that doesn't create a lot of value for our shoulders. So we think with our team and our great opportunity to position ourselves in great location, location means good resource constructability and ability to interconnect. I think that this is also part of the strategy to win cost of capital in is one ingredient. I think the quality of the development and the quality of the site provide also a lot of competitiveness on specific sites to create value and create good return. But yes, we feel that we have to create more return. Total Cost of capital in the industry has gone up, and obviously we think that hopefully the industry will be disciplined and we cannot, I mean, we cannot control our competitor, but we can certainly control our bids and making sure that we are disciplined in our approach.
Operator: Your next question comes from Robert Hope from Scotiabank.
Robert Hope : Maybe a first question on the 2025 EBITDA guidance. Appreciate you highlighting some of the buckets that will drive it higher, including new projects as well as higher generation. But can you maybe add a little bit more color. Kind of how much the lower generation to LTA did weigh on 2024, results as well as kind of the incremental contribution for Boswell to get you to the to the guidance range, and I guess finally, the upper end that 875, what? What percentage of LTA, would that assume
Jean Trudel: So the range assumes LT at 100% so the major bucket, the major driver, is obviously the Boswell commissioning. So that in itself, I think we guided you in the past, it's about $70 million of EBITDA. So, you know, let's call it 100 million. So that, in itself, helps us to guide you, guide the street to a range that is 100 million more of a PDA, obviously, in 2024 there's a mix of events that occurred, but the lower generation was compensated by, as we mentioned. Mentioned the recognition of PTCS, but also the Boswell. Obviously the Boswell, Boswell actually produced pre commissioning revenues at a lower rate than the PPA rate, but it also did produce PTCS, and the reason why it affects the free cash flow per share is that these PTCS are transferred, and that's part of the investment from the tax equity partner that we just announced a couple days ago. So that is actually going to PTC revenues generation. Obviously, the PTCS are generated and to EBITDA and also to free cash flow because it doesn't go against this investment from the tax equity right as it would as a scheduled payment, if you want. So it had a an impact on our free cash flow generation. So that helps us actually beat the guidance. But even without that, like we would beat the guidance anyway. So I think we've got we've controlled costs as well. We allocate capital a lot better and better, right? So we allocate, you see that we have a [indiscernible] sign that improves. But it's, it's, it's, we are trying to be as good as possible in allocation to allocating the capital to the best development project, the most probable ones, and so that also helps, and we contained our G&A. You can see that even through an inflationary period over the last couple of years, we really contained our G&A and our operating costs, OPEX and maintenance capex, so that also helped drive better results in the year, and will continue to be very cost conscious and disciplined. And
Michel Letellier: Also Jean we take 2025 production in line to take some assumptions on curtailment as well. So that that is built in in our guidance for 2025 that's right.
Robert Hope: All right, appreciate that. And then maybe just taking a look at your development portfolio of over 10 gigs, you know, 23% of this is in the US. You seem pretty confident that Palomino will move forward here. And when you take a look at the rest of your US development pipeline, can you help us understand, you know, how much do you think is the medium term, as well as kind of the breakout between solar and wind?
Michel Letellier: Well, there's, there's another big achievement in 2024 that we haven't spoken but Wautoma, which is in Washington state is 400 megawatt solar that have just been confirmed with the state. All the permit in Wautoma, even the potential referral to federal has been cleared for that project. We have also put ourselves in the queue for interconnection, so wautoma could be ready for any RSP in the northwest area for utilities. So this is, this is something that we're working in, and we think that this is a potential good project that that could be brought for participating in RFP in in United States. We also have bid some batteries. I think that a lot of utility are looking for batteries so we have secure and we're active in proposing our proposing project in for four batteries when we're building our portfolio in wind. Like I said, we've heard a lot of negative comment on the on the wind from the administration, but again, I think that if you look at the price of wind in the United States, it's compelling. There's places where you have usage in factor in the 45 46% so I think that the customer would be he'll advise not to consider the win in the future. But obviously, we're going to be prudent in developing the wind and the United States. But again, we our guidance for you guys is saying that we need 400 500 megawatt of project over all our market, and we've been telling you that we'll be disciplined so we don't need to be big winner in the United States in The next few years, because we have other opportunity. But I think that on the long run, it's, it's, it's a good investment to be present in the United States and position ourselves, and perhaps some players might walk away from the US and provide opportunity for us to secure. A good, good project and access to the grid over time. So for me, of course, we're going to focus more on where we think we can control and be more competitive, but I would not discount the United States on the long run. Thank you.
Operator: And your next question comes from Mark Jarvie from CIBC.
Mark Jarvie : Obviously things are building a lot of momentum here in Canada, and you're obviously positive still in the US market. Can you refresh us again on what you think are realistic opportunities in terms of development objectives. I think last year, around this time, you said 1.5 gigawatts by 2030 you're getting pretty close to that. So how do you how do you think about that number now? How do you think about what else you want to add in terms of your ability to continue to do that on a self-funding basis?
Michel Letellier: Like I said, I we're focusing on 400 to two to 500 but the most important thing is creating value and making sure that we can create for cash flow growth per share, if we, if we are too successful in creating maybe a funding, I would say opportunity. We have other, other potential recycling that we have in our in our ability. We've shown over the years that we have a great team of M&A that can also put at work to sell down assets to refinance or refinance assets. So I'm not so concerned about just volume. I think again, we have opportunities to secure a great project with good return, and this is usually a good problem to have when you have to find capital at the end of the day, there's a lot of private equity that are looking for good, good project to invest in. So we're focusing on creating good opportunities. Answering RFP, where we think we can create value and I don't think we can have enough of good long term PBA with inflation built in in them and take our pay. We've heard a lot about data center and all that stuff, but the quality of the of the PPA in Canada, with the main utility are really hard to beat. I mean, their take their take our pay with inflation, this is kind of hard to beat. So if we can be successful in in securing those with good local partner, also, I think that having the ability to be partner with local communities ensure long term social licensing in your project as well.
Mark Jarvie : Where would you say you'd stand now, in terms of where you are on, terms of the size of development, in terms of what you can self-fund today and like then how close are you then to potentially having to ramp up minority sell downs or asset sales to, you know, to cover off incremental growth from here on board?
Michel Letellier: Well, we said that we can self-fund about 400 megawatt, and that's, that's, that's what we aim, obviously, if we, if we add up a lot of project in 2829 which is unlikely, I think, that the opportunity will be more in 2030 3132 32 so further we go in the future. Greater is our ability to sell fund as well, and also as we put project in, we're creating more cash flow per shares and our ability to raise corporate level, debt is increased as well. So the whole idea of self-funding includes also our ability to raise a little bit more debt.
Mark Jarvie : And then another question is for me, just Curtis Palmer engineer as you near the end of that contract, what's the expectations there, the view to maximize the PPA price, or would you be looking to try to lock in a long term contract, 1020, years and put some debt on that as a source of non-dilutive funding, sort of, what's the sort of optimization path for
Michel Letellier: This is something that we're working on. You're right on. I mean, if we can secure the long term PPA with attractive pricing, and that the ability to project finance, that would be a great opportunity to recycle some of our equity. I think that we're seeing all stronger pricing in the latest quarters. To. So the ID that offshore wind is not necessarily going to be, I guess, a short thing in the Northeast these days that, to some degree, is increasing the pressure on the price in the northeast, even if you want to bring new gas in that area, we all know that it's fairly constrained. So I think that the existing project with good green energy availability improve our potential output for better pricing for long term commitment from buyers.
Mark Jarvie: Just curious too, if you can comment whether or not you sort of had the same vision between yourselves and your partner, how to go back in terms of how to optimize that asset. And for some reason, if there was a difference of opinions, would that be something you'd be considered as a non-core asset to sell off your share of that facility.
Michel Letellier: Always we will send you. You know some people that knows me, with Joe that time, I'm not willing to sell hydro. Obviously, we like to have hydro in our portfolio. But at the end of the day, if it makes sense financially and it creates value for our shoulder and give more flexibility. We would consider it. Important to say that so far, we have a good alignment with hydro code, back on the management of this asset and on the outlook for the for the future, re contracting as well and or financing of this asset understood.
Operator: [Operator Instructions]. And we have a question from Ben Sam from BMO.
Ben Smelas: I just wanted to check on some of the self-funding calculations and just how it compared to last year. You're framing it as $300 million capex and 150 megawatts net. And I just wanted to square that language with today's language, which I'm not saying it's new, but a just an update, 400 megs, I'm assuming that's a gross number, and these have higher free cash flow now with Boswell springs in a COVID class,
Michel Letellier: It is a gross number. When we talk about 400 it includes, obviously, the cash flows that are now generated by Boswell. Is that? Is that? Was that your question, Ben?
Ben Smelas: Yeah, how does the math compare now to last year? Because you mentioned you're generating free cash flow, 75 million elaborate that can sell fund, 300 million capex, which is more like 150, megawatts. Is that? Did some of the assumptions change, or maybe I'd miss the trail there, no, no,
Michel Letellier: Not really. I think we're going according to plan. We're putting in service our assets, and the cash flow generated, obviously, is accounted for when we think about our capacity to build a 400 megawatt growth of assets. Obviously, when we plan, we today don't have recycling activities in this so we could add recycling activities if need be, or refinancing of certain assets, as we discussed, so that could add to this capacity, you know? And it depends, right? Every megawatt is not exactly the same solar megawatt is not the same cost or capex or capital structure as a wind asset, but the approximation is still good, still added.
Ben Smelas: Okay, maybe later that. So just looking at your backlog post 2027 looks like every year there's at least 200 megawatts of projects each year, which looks pretty good. Are you trying to sell more of that white space there to 400 megawatts that ultimately the ground plan like each year, 400 megs and just kind of logistically,
Michel Letellier: Sorry, Ben, I think you cut off a little bit. Could you repeat the question?
Ben Smelas: Oh, yeah, no, absolutely. I'm just looking at your 2027, plus backlog on slide nine, and each year, you have at least 200 megawatts of projects already, maybe not secured, but looks like it's coming in each year. What is your plan? Then the grand plan is, are you trying to have each year for him makes and sell that in each year?
Michel Letellier: Yeah, okay, that's probably the minimum. And like I said, that that fulfill our ability. Uh, to sell fund. And then it depends also on how, I guess, uh, aggressive or opportunistic, we could be in recycling some of these assets. But even if we answer call today, as you all know these days, it takes four or five years at least to put in service. There's permitting, but there's also the backlog in interconnection. So even if Hydro Quebec comes this year for an RFP, it'll probably be in 3132 33 so we're actually wanting to protect our growth past 2030 there's maybe opportunity here and there to bid 2829 but most of the project will be now 31 if we have some good news on BC you, you may have heard that BC Hydro is trying with the BC government to accelerate the interconnection date on the new wind RFPs, and they're working on reducing the burden on permitting, and are asking BCI DRO to look into opportunities to accelerate the interconnection work. So if some of those project comes a little bit earlier, that freed up some of the 2031 30,032 slot. So the ID for us is making sure that we're building a long term portfolio of backlog of good project with good financial incentive for us to develop them and
Jean Trudel: Maybe, and also the other thing in the meantime, there is opportunities to build battery systems that might be a bit faster. And as you saw also in it, I know it's rather small, but in France, we were able to get our hands on a very nice asset that's that we've brought to construction very rapidly. So that still generates, you know, our, in our view, appropriate return to shareholders, considering the risk profile, and it advances, or it places some assets in service before that, 2029 or 2030 as Michelle mentioned. So, so there's ways for us to advance some megawatts a bit faster, like in Chile. Is a good example, actually, for that.
Ben Smelas: For that matter, would you characterize the sequence of the megawatts coming on post 2027 does it seem like it's almost probably one of the best situations you've seen for a long time on a growth front.
Michel Letellier: Yeah, and again, the news are even better that there's great important. That's why we're saying. We don't understand the market. We have those great opportunity and great opportunity with good quality PPA, and we're focusing we have a lot of opportunities, so that gives us the opportunity to be more selective in making sure that the project that we win are creating value for everybody,
Jean Trudel: And the supply demand right now is favoring IPPs like Innergex, right? So we've seen this. The demand is there, and the number of bids is much lower as a metric like bid to awards that we've seen in the past. So we have, I think, an ability to flow through better returns, better PPA pricing, and we've demonstrated it. We've done this. We've bid like pricing that was a bit less aggressive and with more return. And we did win, and were awarded PPAs like we've rarely seen in the past, right? So I think it's still going to be there for a number of years.
Operator: Mr. Baydoun, there are no further questions at this time you may proceed.
Naji Baydoun: Thank you for joining us today and for your interest in Innergex and we look forward to updating you on our progress again next quarter. Thank you. Thank you all.
Operator: Ladies and gentlemen, you may now disconnect your lines.